Operator: Good morning, and welcome to the Liberty Oilfield Services First Quarter 2021 Earnings Conference Call. All participants will be in listen-only mode.  After today's presentation, there will be an opportunity to ask questions. Please note this event is being recorded. Some of our comments today may include forward-looking statements, reflecting the company's view about future prospects, revenues, expenses or profits. These matters involve risks and uncertainties that could cause the actual results to differ materially from our forward-looking statements. These statements reflect the company's beliefs based on current conditions that are subject to certain risks and uncertainties that are detailed in the company's earnings release and other public filings.
Chris Wright: Thanks, Ian. Good morning everyone, and thank you for joining us to discuss our first quarter 2021 operational and financial results. We're excited to embark on a new era for Liberty, completing our first quarter with an expanded platform as a fully integrated completion services engineering and diagnostics company. We're pleased to report $552 million in revenue and $32 million in adjusted EBITDA in the first quarter. The Liberty OneStim combination has been extraordinary. We've doubled the size of our business, while only growing G&A by approximately 15%, and depreciation and amortization by less than 40% from pre-pandemic levels, in exchange for a 37% equity interest. In addition, the enormous growth in our technological expertise has been inspiring. We've brought together a suite of leading edge technologies and two of the top technological teams in the industry. We are excited to bolster our frac technology leadership in many areas, and I will highlight just a few later in the call. We have come a long way since the founding of our company a decade ago. Our focus, however, remains the same; delivering superior returns across cycles to build a differential company with long-lasting competitive advantages. Accomplishing this requires great people, and a culture that aligns them to passionately pursue the Liberty mission. We estimate, and we currently have a little over 15% of the deployed fleets in the market, and are likely completing a little under 20% of North American shale wells. After a rapid rebound off of the COVID bottom, we are now in a slowly improving market. Liberty's number of deployed fleets in the first quarter was in the low 30s, and will be similar in the second quarter. We will remain disciplined in deploying additional capacity. Fleets are only deployed to customers with strategic value and that will delivery good returns on capital invested. Overall, market conditions today remain challenged, but they are improving as demand for frac services grows, and more importantly, supply of quality fleets shrinks. Interest in Liberty fleets and partnership continues to grow. Our dialogues with customers are becoming even more constructive as both parties seek mutually beneficial long-term partnerships.
Michael Stock: Good morning. We are pleased with our first quarter results. I'd like to take a moment to thank our entire team for going above and beyond expectations. They came together to deliver solid results while encountering operational challenges arising from unusual winter weather and added responsibilities through the sizeable integration about OneStim acquisition. We're off to a great start. Executing on our strategy, we expect to drive the next phase of financial growth and superior returns. We are already seeing early stage benefits from our teams leveraging a full suite completion services, including frac, wireline and sand, along with engineering and diagnostic tools unique in the industry to drive increased engagement with new and existing customers. As Chris reviewed, we are also working very hard on integrating our technology development efforts to improve efficiencies throughout the supply chain and drive the next phase of innovation in the frac business.
Chris Wright: Thanks, Michael. I just want to extend a broad and heartfelt thanks to everyone in the Liberty family that's worked through so hard through these tough times and through this tremendous transformation of our company, to all our customers and partners as well. And with that, we'll open it up for questions.
Operator: We'll now begin the question-and-answer session.  And our first question comes from Blake Gendron of Wolfe Research. Blake, please proceed.
Blake Gendron: Yes, thanks. Good morning, guys, and Chris, always appreciate your perspective on the macro and the energy outlook at the top of the call here. I want to circle back on the path to normalize margins. Seems like things are still pretty competitive pricing-wise, perhaps an upside biased activity with with privates potentially adding in the back-half year. That said, it seems like we really need to see either, number one, accelerated attrition or, number two, a bifurcation of next gen frac equipments in terms of pricing. Curious more so on the latter, how you think this manifests in terms of your relationship with customers. Is there any sort of pricing mechanism by which you can take down some economic   created by GHG emission reduction?
Chris Wright: Yes, you're right, in that that market today is tough. Look, we've come off an incredibly low downturn, but every quarter gained supply and demand sequentially getting better. And yes, people want next generation frac equipment, they want to lower, of course, it's not just greenhouse gas emissions, but it's   carbon monoxide, and other pollutants that are reduced with modern fleets. So, there's a hunger for that. There's also an understanding that our whole industry, the service industry doesn't have the good returns today that E&P have recently come back to. So yes, it's a dialogue. Everybody buying wants a low price; everybody selling wants a high price. But absolutely, next generation fleets and higher performance and higher opportunities to bring technology to continue to drive performance better, that there's -- that commands a price premium. And so, it takes time. I think of the last downturn, and things were just brutal at the start of the summer, in 2016. And two years later the market was dramatically different; dramatically. Now, that one was driven more by a surging increase in demand. This rebound, we've seen a surge of increase in demand, probably most modest going forward. But the rate of investment in new equipment over the last few years has just been very low. In 2017 to 2018, people were building frac fleets in a feverish pace. Nothing like that has happened in the last two-plus years. So, I think it's mostly supply accretive and a desire for better equipment that continue to pull the economics of frac in the right direction.
Blake Gendron: Totally fair. Wanted to switch to wireline bundling, we've seen some companies try to do this in the past with fairly mixed success at various points in the cycle. Wondering what Liberty is seeing in terms of early NPT reductions and the like, I know still very early days. And also in this current activity environment what the receptivity of value-added wireline technology is looking like. Is there anything specifically you'd call out on that front?
Chris Wright: Look, obviously, in integration between frac and wireline at the new Liberty, we're early on in that. But yes, there are opportunities that make those two teams and systems work together better to drive efficiency and lower downtime, absolutely. Clearly, Schlumberger had a number of those paired fleets working together. For us it would be a bundling, sort of, right, like price discount. For us it isn't about that. It's about how do we deliver the safest, fastest, best, most efficient completion service. And that really is a dance on the dance floor between frac and wireline. So, we're proud of the teams we have in both side, and very excited about the opportunities about how to make those into one team, not two different teams.
Blake Gendron: Thanks a lot for the time.
Chris Wright: Thank you. Thanks, Blake.
Operator: Our next question comes from Scott Gruber of Citigroup. Scott, please proceed.
Scott Gruber: Yes, good morning.
Chris Wright: Morning, Scott.
Scott Gruber: Great to hear that normalized margins are possible next year. And certainly we saw the quick snapback last cycle, like you commented on, Chris. Where would you peg the normalized margins at given the new combined fleet and the different portfolio composition that you're going to have this next cycle?
Chris Wright: Well, Scott, peg sounds way too specific for us, and particularly talking about the future. But look, clearly our cost basis across our fleet, our average fleet, is lower now. What we ultimately focus, what we ultimately care about is return on capital employed or measured another way, cash return on cash invested. In our 10-year history, not exactly in stellar years in the industry, we've been above the S&P 500 in that metric, and that's our goal, is to continue to deploy cash in a disciplined fashion and generate a solid return on that. And so that's the ultimate yardstick for us. From an EBITDA per fleet thing, I mean, yes, that's sort of a wide band, and really depends on a number of factors. But something in the mid teens there is probably a broad-brush estimate of that. But yes, it's about developing strong returns on capital, and a strong balance sheet so we're  for whatever comes.
Scott Gruber: Got you. And just thinking through the pathway to get to something in the mid teens ballpark, is it primarily operationally driven through your fixed cost absorption and efficiency improvement initiatives? How much pricing is required to get there, if you can kind of split part the pricing driver from the other drivers that would be great?
Chris Wright: Look, it's a mix of the two. It is a mix of the two. And I don't think we'll go any more specific than that, but you need both. Clearly we have greater efficiencies now; clearly we have efforts underway to continue to drive our costs to deliver the service. But we just saw a significant -- a large pricing compression, and work with customers as oil prices compress, and it was across the whole sector. But yes, we'll need to see some pricing come back, it is. I think our customers are aware of that. Good news for customers and for the industry, is pricing doesn't need to come back even near where it was to bring returns back, and just a continual progress on efficiency across our industry. The cost to drill a well and deliver a barrel of oil have just continued to go down on a secular basis. Cyclically, is that going to bounce up a little in the next 12 to 24 months? Sure, but relatively modest amount, relatively modest amount.
Scott Gruber: Got you. Would you be willing to offer if it's more operationally driven or more pricing driven to get there?
Chris Wright: Michael is swinging a baseball bat at me, and so . So, it's hard to make predictions about the future. It's those two things working in concert, I -- time will tell.
Scott Gruber: Understood, appreciate the color.
Chris Wright: Thanks, Scott.
Operator: Our next question comes from George O'Leary of TPH & Company. George, please proceed.
George O'Leary: Morning, Chris. Morning, guys.
Chris Wright: Morning, George.
George O'Leary: You all talked a good bit about attrition and kind of marketed supply not being what it may seem on the surface. And curious if you could peel that, the onion a little bit there, and frame what you guys view as the actual marketed supply versus what our perception of that marketed supply might be?
Chris Wright: Yes, in terms of -- look, and again, it's hard to put specific numbers on that because, look, our guess and now I think it's in consensus, we probably got of order 200 frac fleets running today. Is there a lot of parked equipment; absolutely.  I think very little, maybe almost none of that parked equipment is actually staff, a lot of it -- look, customers get choice when the market loosens, and people want to keep getting better, so that -- so there's just a stronger demand for that -- for the next generation fleets. There is a fair amount of legacy equipment around, but it's not being reinvested in. It's starting to perform more poorly. So, you see, a fleet that used to have x number of pumps, and now they're brining one at a quarter, that number of pumps just because of maintenance problems, and pumps go down, and repairs. So, it's like there's an aircraft carrier full of shiny fleets just ready to drive off somebody's yard and go to work. And -- but I think it's too sticky and don't have good enough data to kind of quantify that. But the rate of equipment being retired and worn out is dramatically larger than the rate of new equipment being built.
George O'Leary: Great. That's very helpful, Chris. And then on the -- just with respect to the e-frac offering, it does seem like there is strong demand for more ESG-ish type offerings that truly add efficiencies in the field out there in the market. And you can just see in utilization numbers the different technology types. And just at high level, what do you think differentiates or will differentiate   e-frac offering from the competitors? Is it largely that ST9 pump or are there other bells and whistles? I'm not looking for specific color; I know you don't want to give away any kind of competitive edge. But any high-level color on what you think makes your offering unique versus the competition?
Ron Gusek: Yes, George, this is Ron. I'll maybe give you just a couple of points that we'd maybe highlight in that regard. You certainly hit on one of them, we think from the SC 9 pump standpoint, we have taken a very, very novel approach to the design there and ultimately believe that that asset is going to be a better performing asset out in the field, relative to other approaches that have been taken around squeezing more horsepower through the same size of pump. So we're pretty excited about the innovations there. But I think the other side that we looked at very, very carefully was the power generation side, there had been, we'll call it one very typical approach to powering directly out in the field. And our look at that suggested that that was not the optimal way to be running a frac fleet, record frac fleet specifically that that there was a better solution to deliver not only improved fuel savings, a better economics on location, but very specifically reduced emissions footprint. And so, we'll be taking a very different approach to powering our frac fleet, we talked quite publicly about that already, that we'll be using natural gas reserve engines, rather than a gas turbine on location. And I think we're convinced that delivers better capital efficiency, better redundancy on location, better efficiency as a result of that. And maybe most importantly, for some of our customers have significantly improved footprint relative to the existing solutions.
George O'Leary: Awesome. Thanks for the call, Ron.
Operator: Our next question comes from Stephen Gengaro of Stifel. Please proceed.
Stephen Gengaro: Thanks. Good morning, everybody. Two things first, you mentioned your fleet count in the low 30s deployed, are you willing to give us a sense for how many fleets you have which are sort of readily available to go back to work and how many would require material CapEx to reenter the active fleet?
Ron Gusek: As we pointed out, I think when we rolled out the ones deal, part of the deal we had 20 retakes, as described by with blue fleet ready to go. So there is no capital required for those plus we were running more orders 23, 24 fleets of Legacy rate, so those two basically outline doesn't mean really in terms of CapEx.
Stephen Gengaro: Okay, great. Thanks. And then second, as you've sort of gone through the process and integrated some of the Schlumberger assets, the OneStim assets, has anything surprised you about sort of the relative profitability or the relative efficiencies? And have you seen anything, which increased your confidence level or changed your views on integration savings and how they unfold over the next year or two? And how should you libertize their assets?
Michael Stock: No, I think we would be very, very nicely surprised by the efficiency. I think that's one of the things when you get under the hood, incredible amount of pride out there. Those teams and they're incredibly good. And so yes, I think they love the fact is that if you're working with that team, and sort of you're being made free, you have been given so that you have that responsibility as best they can be. So I think we are more optimistic about that potential. And I think and when we get to the investor day on June 17, we'll lay out some sort of more looks at the integration. But I really think Ron and the technology team had done a great job of really looking at what's going to be the next generation integrated team. As you know, we make investments for the long-term. So I think it's going to be really coming together best practices, and I think it's going to be exciting.
Stephen Gengaro: Okay, great. Thank you.
Operator: And our next question comes from Chris Voie of Wells Fargo. Chris, please proceed.
Chris Voie: Thanks. Good morning, I was hoping to touch a little bit more on pricing. I know don't want to get too detailed, but just compare to I guess, in February, when you describe the fact that you had some pricing increases baked into contracts already that would be showing up in the second and third quarter, just curious of leading edge has improved at all compared to that. And then whether you expect any pricing uplift from including DigiFrac or frac sands if they're going to be additive, or how to think about what that might bring as you get into the second-half of this year or 2022?
Michael Stock: Hi, Chris. I think Chris pointed out lastly to that, we continue those customers, those discussions with customers, and they've probably had more price, more price increases baked in as we go through the year in to next year. Of course, the defracking won't affect margins until we come in next year. And we'll have an increasing amount of Tier IV DGB fleets which are also in great demand by customers as we get through the back end of this year. So that will help.
Chris Voie: Okay, thanks. That's helpful and then maybe on the CapEx front, so maintenance or sorry not maintenance with CapEx guidance 145 to 175, how much, how do we evaluate the upside risk to that, in the case of let's say E&Ps get even more hungry for ESG quality fleets and you have to potentially upgrade to Tier IV DGB or I guess fracs, sorry, DigiFrac is not in the near future. But how much upside risk would there be if that becomes even more important to your customers?
Michael Stock: The upside risk and upside are two obviously, we won't be making those investments without very, very strong path to sorts of we do and it comes about virtual. But I think that's the key. They won't be managed. There'll be a bit of pricing round in returns. And that's what drives their investments. So they're looking towards that path of long-term business.
Chris Voie: Okay, thank you.
Operator: Our next question comes from Ian Macpherson with Simmons. Please proceed.
Ian Macpherson: Thanks. Good morning, Chris, Michael, thank you for all the color. When we look out, make the walk from where you are in Q1 towards normalized margins by next year, starting in Q2, you will have the abatement of the weather impact, I assumed that the $25 million of revenue impact that you called out in Q1 would have extremely high EBITDA decrementals associated with it. So there would be a substantial building block there, in addition to the reduced transaction costs, and presumably, the iterative pricing increases coming in. So, are all of those factors correct we as we start the march from Q1 towards normalized margins next year?
Michael Stock: So one clarification, I think the initial review will roll into Q2, which has had normal increase decrementals, so there's something specific about that revenue that will drive, you still go ahead, deliver you got to have sand, you got to have chemicals and it's good to drive repair maintenance, so there is nothing, nothing particularly different other than sort of revenue growth and activity growth, those resources. But other than that yes, you are right. I think as Chris said, this is a move was normal at margins at some point in '20, right, so making sure that you're not expecting it to come out of the gate on the first of January.
Ian Macpherson: Understood, and we're certainly not there. And we're looking and hoping for some upside to it, actually below your prior cycle margins next year in our model. Okay. I wanted to get your thoughts, Chris with regard to competitive structure going forward, you've obviously been leading protagonists on consolidation, and there is more that could be done. We think there might be but do you expect more transformational consolidation of some of your smaller than you, some of the larger independent pressure pumpers to help improve the market structure over the next several quarters?
Chris Wright: Yes, I don't have any particular insight into that. There's certainly always dialog, it certainly makes sense. So, I think there's certainly a real possibility that that's how it happens. But, ultimately, it comes down to human beings that makes decisions, and so yes, we also -- but not hard to predict.
Ian Macpherson: Okay, understood. Well, looking forward to the event in mid-June. Thanks.
Chris Wright: Thank you. We look forward to seeing you then.
Operator: Next question comes from Mike Sabella with Bank of America. Please proceed.
Mike Sabella: Hey, good morning, everyone.
Chris Wright: Good morning.
Mike Sabella: So you all gave some color on 2Q activity, if we sort of think look a little bit in back half of the year, think about where just broadly, you think the industry goes from here through year-end? Is there upside and then, is anybody having conversations around kind of 4Q, but budget exhaustion, is it something we need to start thinking about yet or still too early to tell?
Chris Wright: I would say too early to tell, certainly for the publics, they lay out a budget plan and they're going to stick to them. And so as is typically happened, if efficiency of operations run faster and better than you budgeted for, the possibility of budget exhaustion, they did fourth quarter still there absolutely, now some of them were still ramping-up. So it's not different to another year. I don't think the Q1 expenditures were ahead of 25% maybe a little below but that's a very real possibility, publics are not going to overspend their budget, so that work gets done before 7/31 and in a number of cases that's certainly going to be the case. I think there's some roll down there. And then the potential offset is what our oil prices then or what our oil prices in the fall when privates are making decisions about their magnitude of continuing or picking up activity. So, but, yes, I wish I had a better answer.
Mike Sabella: Got it. Yes, that's fine. I mean, if we could just kind of step back and think higher level about Liberty strategy, I think you mentioned you all had completed 20% of the shale wells in the U.S. and we're kind of around this 200 frac fleet number that is kind of commonly thrown out there as what's maintenance for the industry. When you're thinking about planning for market share with an industry fleet level kind of on either side of what you think is normal like what is normal for the industry, and then how do you approach market share when the industry is running either hotter or colder than you think it's going to be?
Chris Wright: Market share for us is always an output, not an input. The decision to work a fleet is always bottom up. It's always - we don't say we're going to put five fleets to work here or whatever. We don't even talk like that. So for us, it's always about who were our existing partners, how is that relationship. We have pretty low customer turnover, so we tend to keep working with our existing partners and trying to deepen those relationships. You said they went through both sides then we had dialogues that lots of other partners that we couldn't add a new partner, or we could grow market share with existing partners, if they're bigger players and want to have you larger percent of their work done by Liberty. So, it's really more bottom up dialogues than top down dialogues. We've said in the past, certainly at the bottom of -- when the market is really hot, right, returns are awesome and all that, that's certainly the worst possible time to chase after -- but three more fleets out because even as they're awesome today, when the market is really hot, the one thing that's telling you is it's not going to be hot before too long. So in that sort of thinking longer term, we've got it. Yes, so, but again, it's all bottom up. I mean, look our history, our 10 year history has been sort of a slow growth in market share as the right customers and partnerships have pulled us through, but it's all bottom up.
Mike Sabella: Okay. Thanks, Chris.
Chris Wright: Thank you. Thank you.
Operator: Our next question comes from Waqar Syed of AltaCorp Capital. Please proceed.
Waqar Syed: Thank you for taking my question and congrats on a great quarter and thank you, Chris, for your comments on the macro, always appreciated. I may have missed this. I may have missed some of your earlier comments. I was a little late in joining, but on Canada, how many active feeds do you have in the first quarter and how would seasonality impact second quarter results that seasonality in Canada?
Chris Wright: Waqar, no, we didn't give details about where our fleets are running. In January, we're running low 30s fleets across the whole complex of North America. Obviously, these breakouts in Canada  we said that we had the relatively flat fleet counts in Q2. So we've got a little bit out of work elsewhere. So it's going to be relatively flat across the complex. Again, Canada itself has a normal seasonality. There'll be breakout and it'll pick up again in the summer and then it will drop in January. Canada has  instead of the general rotation there.
Michael Stock: We're thrilled to be in Canada, Waqar. So, thanks for asking that. Yes, you would have tremendous American partnering energy in broader picture, so we're very happy to be in Canada and look forward to building better in that business going forward.
Waqar Syed: Oh, absolutely. Yes, Canada is an attractive market now. Now, in terms of profitability in Canada in the first quarter, how would that compare to the average for what you reported in the first quarter?
Chris Wright: Obviously, we don't break out geographies. But again, one can think that we have a very, very dismembered approach to how we run our business, you know that again across all that basin as we've seen many times before, really, we look at them as a whole and sort of reading every, so every decision of putting to fleet to work and having people working, it's a decision that's very unique. And so, therefore they have to be effective. When we look at long-term results, and we think Canada is a very appealing long-term market for us.
Waqar Syed: Absolutely. And then just one final question, what's your current public versus private mix in terms of number of fleets allocated?
Chris Wright: As we've said before, generally, with the OneStim acquisition, as we talked about last quarter. Our public private mix is fairly close to about where the industry is, right? I think what you've seen is -- you've seen a bit of a pickup in the privates. So the beginning part of this year, so we may be have a little heavier to the public very slightly, because that's where we were going into the beginning of this year. But generally, we are now beside where we really mirror the markets and if you look at the general market data that is actually very analogous to us.
Waqar Syed: Okay, great. Thank you very much. Appreciate the color.
Chris Wright: Thanks for your question.
Operator: Next question comes from John Daniel of Daniel Energy. Please proceed.
John Daniel: Hey, thanks guys. Congrats on the great interest on DigiFrac. Just have a question on that. Really wanting to understand the removal process? Because, I would assume you guys would seek some contractual support before any type of large scale build out. But I'd also assume an E&P companies to test the system before they want to sign a contract. So it kind of creates a little bit of a chicken and the egg if you will. I'm just curious how you think you're going to handle that?
Chris Wright: John it's about between those two things. In our dialogue with customers, one of the things certainly is we don't want our customers to take technology risk. They've done that. And in many cases, it's not worked out well. It's up to Liberty to deliver DigiFrac to work to the performance specs, we believe it will. So if we will get contractual commitments, but if our fleet doesn't work that's not on them, that's on us.
John Daniel: Okay, so maybe a performance-based contracts then, so they don't have an out or give you the ability to build.
Chris Wright: All way, all the frac contracts on that way, there's been some that were done not that way, and I think that's a mistake for both parties.
John Daniel: Okay. And then, one comment, I think you made Chris was the 20% lower emissions on DigiFrac. Is that relative to the like a legacy turbine solution, or is that relative to even like the Tier IV DGB solution. Any color on that?
Chris Wright: That's relative to the data we have for all existing practices.
John Daniel: Got it. Okay, fair enough. And then I guess, last one for me. You mentioned low-30s fleet count in Q1 and Q2. Just knowing there is some lead time to reactivate fleets. Are you making any plans now to sort of reactivate fleets taking in the mid-30s and the back half of the year? Understand, if you don't want to say, but just curious.
Chris Wright: Yes, John. We're in all sorts of dialogues with existing partners, potential new partners. There's no macro plan of what our fleet level is going to be.
John Daniel: Right.
Chris Wright: But again relationships, drive it all for sure. And you as you will know, for sure, we will be disciplined if there's strong demand pull from customers and partners that could creep up, it's not going to scream up, it could stay flat. So yes, we truly we don't know. But we continue the same partnership mentality we've always had.
John Daniel: Fair enough. Thank you for putting in.
Michael Stock: Thanks, John.
Chris Wright: Thanks John. We look forward to seeing you out in the road. Appreciate all your…
Operator: Our next question comes from Chris Voie of Wells Fargo. Chris, please proceed.
Chris Voie: Just one more follow-up here, I'm curious if you could maybe just give some color around the contribution from the sand mines. Obviously, different setup now compared to previously. Just curious if you can break out if that was a meaningful contribution or profitability, or percentage of revenues, any color on that. So you can think about the contribution going forward.
Michael Stock: If we think it as one integrated delivery to our customers, so you know, we really aren't breaking those out at the moment. I think that is probably the key thing, it's not sizable enough to be broken out of segments. So I think if you'd have look at the complex as a whole.
Chris Voie: Okay. Thank you.
Michael Stock: Thanks.
Operator: And our last question comes from Frank Reppenhagen of Concentric Equity Partners. Please proceed.
Frank Reppenhagen: Hey, guys. Great job improving the business in a very tough market, as we remember the Sanjel acquisition transforming the company in 2016, I know that we're going to look back and OneStim is just a transformational event for both this business as well as for the entire market. And as demand comes back, we're going to capture more than our fair share of quality customers. Question for Chris or Ron on that is fleet deployment increases? Can you guys comment a little bit on the labor market? I know a lot of CEOs that we talked to are reporting a hard time recruiting and retaining field workers and enhanced unemployment benefits, creating a lot of friction bringing people back into the workforce. How does Liberty see scaling up the workforce over the course of 2021?
Chris Wright: Yes, great comment Frank. And that is indeed the case. It's the case for Liberty. It's the case for the industry. And in fact, it's as you've seen it's the case for the broader economies. In my opinion, a lot of dialogues with business leaders, outside of oil and gas on this issue, if we look at, we have right now about 6 million people out of the labor force that were in the labor force, but they don't currently intend to return to the labor force right now. So you -- and then you have fiscal and monetary stimulus that of course, pertaining to the fiscal part that's going to drive growth and economic activity. So we have sort of an accelerator on supply and an incentive and self-reporting of a reduction. I mean in demand for labor, we have an acceleration, and we have some constraints on the supply of labor that hopefully end in September, but we'll see what's up in Washington does on these on - on the employee benefits. So, yes, that's for hotels, or restaurants or whatever that problem is dramatically worse. But yes, it is an issue. It's an issue we are facing as well. Fortunately, we have a good cell and a good culture. But hiring today is much harder than then you would think from the outside and you're well aware of that.
Ron Gusek: I sort of add a bit of color on that Frank. I mean, I think that's one of the things that's underappreciated. As a limiter of the supply of frac services in general, that's one thing that will help a little bit on the pricing side. It is actually very, very difficult to get people into the marketplace, right? Really a key amount of the people that we that the labor force we pull from, can really also work in two industries that are booming at the moment one is construction, and the other one is trucking with Amazon . So when people do always think about our industry and think only infected sort of like the fire hitting equipment, the real limiter in supplier frac is the ability to get good, qualified people, so that will help us sort of like sitting back some of our other questions earlier. There is actually one of the things that's driving the pricing dynamic with customers.
Frank Reppenhagen: Thanks for your comments, guys. Look forward to seeing you in June.
Chris Wright: Appreciate your thoughtful comments, Frank.
Operator: This concludes question-and-answer session. At this time, I'd like to turn the call back to Chris Wright for any closing remarks.
Chris Wright: We thank everyone for their time and interest in Liberty and we'll get back to work the whole Liberty family. Thanks for joining us today.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.